Operator: Thank you for standing by, ladies and gentlemen, and welcome to the Seanergy Maritime Holdings Corp. Conference Call on the Fourth Quarter and Year Ended December 31, 2025 financial results. We have with us Mr. Stamatios Tsantanis, Chairman and CEO, and Mr. Stavros Gyftakis, Chief Financial Officer of Seanergy Maritime Holdings Corp. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question and answer session. At which time, if you would like to ask a question, please press 11 on your telephone keypad. You will then hear an automated message advising your hand is raised. Please be advised that this conference call is being recorded today, Tuesday, 02/17/2026. The archived webcast of the call will soon be made available on the Seanergy website, www.seanergymaritime.com. To access today's presentation and listen to the archived audio file, visit the Seanergy Maritime website following the webcast and presentation under the Investor Relations page. Please now turn to Slide two of the presentation. Many of the remarks today contain forward-looking statements based on current expectations. Actual results may differ materially from the results projected from those forward-looking statements. Additional information concerning factors that can cause the actual results to differ materially from those in the forward-looking statements is contained in the fourth quarter and year ended 12/31/2025 earnings release, which is available on the Seanergy website, www.seanergymaritime.com. I will now turn the call over to the Chairman and CEO of the company, Mr. Stamatios Tsantanis. Please go ahead, sir.
Stamatios Tsantanis: Thank you, Operator, and welcome, everyone. Today, we are pleased to present our financial results and company updates for the fourth quarter and full year of 2025. 2025 marked our fifth consecutive year of profitability and another important milestone for Seanergy. We delivered strong earnings, generated meaningful cash flow, advanced our fleet renewal strategy, and continued returning capital to our shareholders, all while further strengthening our balance sheet. For 2025, we reported earnings per share of $0.68 and for the full year period of 2025, we reported earnings per share of $1.28. Both our net income as well as the appreciation in value of vessels acquired since 2021 underscore the operating leverage embedded in our platform. Our profitable track record validates our long-term consistent strategy of focusing exclusively on larger bulkers, Capesizes and Newcastlemaxes. Seanergy is optimally positioned in what we believe is a favorable Capesize environment supported by expanding long-haul demand while fleet supply growth remains constrained, aging tonnage, limited new ordering, and environmental regulations creating a structurally tighter supply environment. With respect to fleet renewal and optimization, we have made significant progress. To date, we have secured three high-specification eco newbuildings, two Capesize and one Newcastlemax at leading Chinese shipyards with deliveries between Q2 2027 and Q2 2028 totaling approximately $226,000,000. At the same time, we recently concluded the sale of a 2010-built Duke ship at a firm price, in addition to the sale of a 2010-built Genoa ship earlier in 2025. Both transactions released significant capital for the company. The current strength in secondhand values allows us to execute our fleet transition in a disciplined and measured manner while maintaining a strong balance sheet. At year end, our fleet loan-to-value stood at 43%, reflecting a conservative leverage profile supported by disciplined balance sheet management. As a pure-play Capesize operator, we maintain balanced leverage that preserves financial resilience while retaining meaningful exposure to market upside. I will now turn to Slide four for an overview of our capital distributions. In this profitable market environment, our capital allocation priorities remain clear: return capital to our investors, modernize our fleet, and preserve financial strength. In 2025, we declared total dividends of $0.43 per share, including $0.20 in the fourth quarter. Since Q4 2021, we have returned approximately $96,000,000 to our shareholders through dividends, share buybacks, and note repurchases. Based on our track record and current market strength, we remain constructive on future distributions subject to market conditions and capital commitments. Slide number five, commercial snapshot. Turning to slide number five, 2025 demonstrated the strength of our chartering strategy. During the fourth quarter, Seanergy achieved a daily time charter equivalent of approximately $26,600, while our full year time charter equivalent was approximately $21,000 per day. Fleet utilization exceeded 96% despite the intense dry-dock schedule, reflecting our strong operating efficiency. In what was an extremely volatile year for the Capesize market, we are very pleased with our balanced commercial strategy combining index-linked exposure with selective forward fixtures that has allowed us to participate in market upside while securing cash flow visibility and reducing volatility. Looking forward for 2026, we expect our time charter equivalent to be about $25,300 per day based on the FFA curve for the remaining days of February and March. We are closely tracking Capesize Index during the period of counter-seasonal strength. As the market remains on a clear positive trend, we aim to selectively fix a percentage of our available days at attractive rates, securing high cash flows and returns on invested capital. For the period from Q2 until 2026, we have fixed approximately 32% of our available fleet days at an average gross rate of $27,300, subject of course to further increase as a result of the profit-sharing scheme for two of our vessels. Looking further ahead, the upcoming delivery of our newbuildings will further improve the commercial profile of Seanergy. We are currently considering our options with regards to their employment. Slide six. Since our previous quarterly update, we have taken decisive steps towards fleet renewal and placed orders for two additional newbuildings at first-class shipyards based in China. For now, we have two sister Capesize newbuildings for mid-2027 and one Newcastlemax for Q2 2028. Combined contract cost stands at approximately $226,000,000, which we believe represents a very competitive value given the prompt deliveries and the quality of the yards. Our three newbuilding vessels have already attracted strong interest from both existing and prospective charterers. However, given the continued strengthening of the market, we remain flexible and have not yet committed to any long-term employment agreements. Their superior fuel and environmental performance enhance their attractiveness to major dry bulk charterers and position them very well as regulatory requirements will continue to tighten the market. On that note, I would like to turn the call over to Stavros for an overview of our financial performance as well as our financing developments with regards to our existing and newbuilding vessels. Stavros, please go ahead. Thank you, Stamatios, and good morning to everyone joining us. Let us begin with slide seven where we will review the key highlights of our financial performance. Before turning to the numbers, I would like to emphasize the continued strength and resilience of our platform as 2025 marks our fifth consecutive year of profitability. For 2025, the strong Capesize market supported robust financial results. Net revenue for the quarter totaled
Stavros Gyftakis: $49,400,000 while adjusted EBITDA and net income reached $28,900,000 and $12,500,000, respectively, reflecting the strength of the second half of the year. For the full year, net revenue amounted to $168,100,000, adjusted EBITDA reached $81,700,000, and net income was $21,200,000, translating into earnings per share of $1.02. These results underscore the effectiveness of our chartering strategy and risk management framework. Turning to the balance sheet. We maintained a strong liquidity position with $62,700,000 in cash and cash equivalents or approximately $3,100,000 per vessel. This liquidity provides operational resilience and supports the execution of our fleet modernization strategy. Now regarding our newbuilding program, the investment plan has been carefully structured with a laddered schedule to ensure alignment with our shareholder reward strategy and financial flexibility. Approximately $— million is expected to be deployed this year, $100,000,000 in 2027, and $50,000,000 in 2028. Financing for two of these vessels has been secured on attractive terms while we are in active discussions for the third. Our debt capital ratio remained well below 50%. This conservative leverage profile, combined with strong cash generation, provides flexibility as we enter 2026 and supports the funding of our newbuilding program. Overall, 2025 was characterized by consistent profitability, disciplined balance sheet management, and solid cash generation, positioning us well to continue delivering value to our shareholders moving forward. Moving on to Slide eight. For the full year, our TCE averaged $20,937 per day, closely aligned with the annual BCI average. This reflects the effectiveness of our chartering strategy which balances index exposure with selective forward fixtures to manage volatility while preserving upside. Adjusted EBITDA is $81,700,000 for the year, significantly above our five-year average. The strong performance in the second half demonstrates the operating leverage inherent in our fleet. Our EBITDA margin of approximately 50% and operating cash flow margin of roughly 33% highlight the quality and resilience of our earnings. Even amid a volatile freight market, we generated meaningful and recurring cash flows supporting both shareholder returns and fleet modernization. Daily operating expense per vessel averaged approximately $7,100, only modestly higher year over year despite the inflationary pressures and the aging profile of our fleet. Moving on to slide nine, let us look at our leverage profile and overall debt position. We closed the year with approximately $294,000,000 of total debt, close to $50,000 in deferred finance fees. Fleet loan-to-value declined to about 43% with net LTV at 34% supported by financing activity and resilient vessel valuations. This places us in a comfortable position relative to both historical levels and industry benchmarks. Debt per vessel stands at about $14,700,000 versus an average market value of $34,100,000, reflecting substantial embedded equity. Additionally, approximately 7% of our total debt is covered by value, offering meaningful downside protection. Daily cash interest expense per vessel decreased to approximately $2,570 per day, representing a 6% year-over-year improvement and enhancing our cash flow profile entering 2026. Before moving on, let me briefly touch on our recent refinancing activity. Over the past month, we executed several refinancings that strengthened liquidity, lowered margins, and extended our maturity profile. At the same time, we secured competitive funding for two of our newbuilding vessels, locking in attractive pricing well ahead of delivery. These facilities were structured with prudent amortization, even covenant restrictions, and enhanced flexibility, including purchase and prepayment options. Overall, our actions reinforce balance sheet resilience and provide the financial flexibility needed to support fleet renewal while maintaining disciplined leverage. Specific details of these financings are outlined in our earnings release. With a strengthened balance sheet and enhanced financial flexibility in place, let us now turn to slide 10 to illustrate the operating leverage in our platform and the sensitivity of our earnings to movements in the Capesize market. At current FFA levels, we estimate full-year EBITDA of approximately $122,000,000. At 2025 average BCI level, EBITDA would approximate $95,000,000, providing a reference point based on current market assumptions. At rates above $30,000, EBITDA would increase materially, reflecting the operating leverage embedded in our platform. That concludes my review of our financial results and updates. I will now turn the call back to Stamatios, who will provide insights in the Capesize market and his concluding remarks. Stamatios,
Stamatios Tsantanis: Thank you, Stavros. Slide 11. 2025 was another strong year for the Capesize market despite the initial volatility. The Baltic Capesize Index averaged approximately $21,300 per day. The year began on a softer note during the first half before iron ore and coal restocking activity in China supported the strong recovery in the second half of the year. Record iron ore exports from Brazil and record bauxite exports from Guinea provided a meaningful tailwind to Capesize ton-mile demand, reinforcing the constructive long-term demand outlook for the segment. In addition, market sentiment and broader trade fundamentals were further supported by strength in the Panamax market driven by increased grain exports from Brazil and the United States as well as additional coal restocking towards the year end. Moving to 2026, in regards to Capesize demand, we have started very strongly with the BCI averaging $22,000 over the first two weeks of the year, marking one of the strongest first quarters of the past decades. Guinea bauxite exports have grown by 14% year over year while dry weather in Brazil and Australia has resulted in high iron ore cargo activity during a traditionally weak seasonal period. For the rest of 2026, the demand outlook remains constructive with bauxite trade expected to continue its growth path and iron ore miners’ production and sales outlook pointing to resilient trade volumes. This trend looks set to continue into 2027 with the Simandou mining project in West Africa ramping up its output. China’s demand for high-grade iron ore remains healthy, supporting demand for imported iron ore versus lower-quality domestically produced one. Moving on to Capesize supply. The supply picture for the larger bulkers, especially Capesizes, points to further tightness and limited vessel availability for the next two years. The orderbook currently represents 12% of the fleet compared to about 9% of the fleet being 20 years or older. Moreover, what is significantly important is that right now, 40% of all the larger bulkers—Capesize, Newcastlemaxes, and VLOCs—exceeds 15 years of average age. So we are talking about an excessively aging fleet. At the current pace of vessel ordering and given the limited capacity of shipyards to deliver newbuildings, it becomes clear that the supply tightness is likely to continue over the next many years. As regards our near-term forecast, 2026 and 2027 are also likely to be affected by the extensive drydocking of the current ships that usually entails considerable downtime. With more than 20% of the world Capesize fleet built in 2011–2012, a significant portion of vessels will undergo their fifteen-year special survey in 2026–2027, temporarily reducing the effective supply, plus, of course, a significant cost. This is expected to result in a fleet capacity reduction of more than 1.5% both years, with some estimates calling for a 2% to 2.5% reduction. This should not be underestimated as it would counteract the 2.2% expected fleet growth due to newbuilding deliveries and could continue to contribute to periods of significant market tightness during the next two years. To summarize, as we have seen in the past, the Capesize market will always be subject to considerable volatility stemming from multiple unpredictable factors, but the limited vessel supply that is shaping up over the next few years along with increased ton-mile demand should result in a positive trend for charter rates. We are pleased to see this positive trend unfold over the past two to three years and we are confident in our view of a strong market in the following years. As I mentioned before, Seanergy is optimally positioned to deliver our stated priorities of capital returns and fleet growth while maintaining a sustainable balance sheet throughout the cycle. We are, in our view, very well placed to deliver strong financial performance over the next few years and we are therefore excited about our prospects. On this note, I would like to turn the call over to the Operator to answer any questions you may have. Operator, please take the call. Thank you.
Operator: Thank you. Once again, it is 11 on your telephone and wait for your name to be announced. We will now open for questions. We are now going to proceed with our first question. The question comes from the line of Liam Burke from B. Riley Securities. Please go ahead. Your line is open.
Liam Burke: Thank you. Good afternoon, Stamatios. Good afternoon, Stavros. Hello, Liam. Good morning. Liam, you have been very nimble in terms of managing your fleet and maximizing the rate environment. I mean, a year ago, you were outdistancing the BCI even when rates are low. But are you seeing anything in the market where it is more prudent to add longer-term time charters versus moving more of the fleet into the spot market?
Stamatios Tsantanis: Well, we constantly are. If you see the release, we have about 35% of our days already pretty much in some sort of long-term contracts that carry all the way to the end of the year. As you know, we are progressing after the Chinese New Year that we expect to see more strengthening in the market. We will continue switching more and more ships from floating to fixed. So already, we have 35% at around $27,000. And, as the year will be progressing, we will do some more.
Liam Burke: Okay. You have gotten—well, how are you balancing going forward the inflated asset values, some of your older vessels, versus what looks to be a fairly attractive rate environment for the next two to three years.
Stamatios Tsantanis: Well, that is exactly what we are doing right now. We were able to secure very prompt delivery slots for newbuildings. First of all, let me step back a little bit. The five-year-old ships, as you know, have been very much inflated. So for five-year-old ships, it is kind of a no-go for acquisitions. It is pretty much identical to newbuildings or a bit lower than that. So we decided to seek newbuildings at high-quality shipyards, but then the question was whether we are going to have debt capital in these orders or not. And then due to our connections and excellent relationships, we were able to secure very prompt, for the Capesize market, delivery slots. We went ahead, and we placed ships—two ships within 2027 and one for 2028. So that is how we manage. So once we identify prompt slots for newbuildings, we will likely continue doing a few more, while at the same time, we might be disposing some of our older assets, the way that we did it right now with the Duke ship. From Seanergy to United or some other, let us say, interesting ideas. But that is how we are going to do it. So if we are able to add three ships and dispose of a couple, or even add a few more, that is how we are going to do it.
Liam Burke: Great. Thank you, Stamatios. Appreciate it.
Stamatios Tsantanis: Very welcome, Liam.
Operator: We are now going to proceed with our next question. The question comes from the line of Mark Reichman from Noble Capital Markets.
Mark Reichman: Thank you, and good morning.
Stavros Gyftakis: Maybe Slide six would be the slide to look at. But just following up on the last question, how it is a favorable financing environment. You are able to get these sustainability-linked loans. But when you think about the high asset values of the existing fleet versus the newbuilds, what are your expectations in terms of your weighted average cost of capital and your return on invested capital on maybe some of these newbuilds, and would you expect the difference to widen, or how are you thinking about that and managing that into your decisions?
Stamatios Tsantanis: Well, that is an excellent question, and thank you. The answer is yes. We are seeing inflation and inflated prices all across the shipping newbuilding assets. So it is not only a Capesize or a Newcastle situation. We are seeing that all over the place. You see that on tankers, containers, LNGs, and, of course, on other dry bulk, smaller dry bulk ships. At the end of the day, however, the amount of money you spend for the CapEx is basically what you expect to make in return, like you very well asked. Thanks to the excellent efforts from our finance department, we are able to secure financing terms that will keep the all-in cash breakeven of these new acquisitions at around $20,000 a day. So the forward rate now stands anywhere between, let us say, $26,000 and $30,000 for a standard Cape. If you count in the premium of these modern ships, that exceeds $30,000 a day. So if we are able to secure anywhere between $8,000 and $12,000–$13,000 a day on a net cash flow basis, you do the math, you can automatically see that the return on equity on these assets is quite significant. That is how we approach it.
Mark Reichman: That is very helpful. And then I always ask this question on the conference calls. What are your expectations in terms of operational off-hire days for 2026?
Stamatios Tsantanis: I believe it is going to be consistent with 2025, but maybe a little lower than that. We have a much softer dry-dock schedule in 2026 compared to 2025. I believe it is going to be a bit lower than 2025.
Mark Reichman: Okay. And then just the last question. This is really a client-driven question. Could you speak to the limited shipyard availability? I guess the question was really the low orderbook versus the limited shipyard availabilities.
Stamatios Tsantanis: Well, again, that is an excellent question. There is no such thing as a limited shipbuilding capacity. I believe that the global shipbuilding capacity coming from China, as well as Korea and Japan, is at all-time highs. But the good thing is that it is pretty much covered by other types of ships. We have tremendous orderbook on containers, also on the tankers, as well as smaller bulkers and other ships. So the orderbook for the standard Capesize and the Newcastlemax is quite limited because it is pretty much covered by all the other asset classes. Also, it is too far down the road. I mean, if you ask for a CPP today, you are likely going to come back with 2029 or 2030. So given the fact that a very big percentage of the current fleet is already quite old, I do not expect to be in a position to be replaced with modern tonnage until well before 2031–2032, just to have a normal churn rate, to put it this way.
Mark Reichman: Oh, that is great. That is very helpful. Thank you very much.
Stamatios Tsantanis: You are very welcome. Thank you.
Operator: As a reminder, to ask a question, you need to press 11 on your telephone and wait for your name to be announced. Once again, it is 11 on your telephone and wait for your name to be announced. We are now going to proceed with our next question. The question comes from the line of Tate H. Sullivan from Maxim Group. Please ask your question.
Tate H. Sullivan: Hi, thank you. Good day and great comments and congratulations on the newbuilds. And in light of the newbuild program, can you comment and remind us on the current dividend policy and how you are looking at evaluating the dividend with the newbuild expenditures going forward, please? Because I think there is a discretionary cash reserve element in the dividend, but wanted to double check.
Stamatios Tsantanis: Good morning, Tate. Thank you very much for your question. We do not expect the dividend policy to be affected by the newbuildings. The sale of the Duke ship plus some other planned things that we intend to make, if we are to put additional newbuildings, will likely be more than sufficient in order to cover all the cash expenditure and, of course, the efforts of Stavros and the finance department to get the financing in place. We will it is going to be unlikely to affect our dividend policy. So we will, and we expect to be in a position to start renewing our fleet without affecting the operating cash flow and the dividend that we will continue to pay to our shareholders.
Tate H. Sullivan: Good. Thank you. And the second question, you mentioned already having some very early contracting discussions regarding the newbuilds. It seems like in the last five years, maybe the tanker sector would lock in multiyear contracts at below-market fixed rates, maybe at the behest of the lenders. How are you strategizing those of contracting the newbuilds? Are you considering the multiyear, or is that a dynamic part of the conversation you have with the lenders?
Stamatios Tsantanis: Well, not so much. Our lenders are very comfortable with the fact that our sheet is very solid. We have very low loan-to-value right now. We have a very significant cash balance. So as far as we keep our orderbook in a well-managed situation, I do not think that any of our existing lenders is going to have an issue. And we see a very strong appetite from new lenders in order to provide additional financing. So I do not see that as an issue altogether. Now fixing the ships for five years or seven years, we are of course considering them. We feel that these ships are in very high demand from our charterers. I think closer to the delivery, maybe in a few months from now or end of the year, we will be in a position to fix some of these ships in long-term periods. But I do not want them to be below market, just to sacrifice the operating cash flow of the ships.
Tate H. Sullivan: Okay. Thank you very much.
Stamatios Tsantanis: Thank you, Tate.
Operator: Thank you. This concludes the question and answer session and today’s conference call. Thank you all for participating. You may now disconnect your line. Speakers, please stand by.